Operator: Welcome to the First Quarter 2015 Earnings Conference Call. My name is Polleck [ph] and I will be your operator for today’s call. At this time, all participants are in a listen-only mode. Later, we will conduct a question-and-answer session. Please note that this conference is being recorded. I will now turn the call over to Jason Lang, Investor Relations Manager. You may begin.
Jason Lang: Thanks, Polleck [ph]. Good morning, everyone. Welcome to Avista’s First Quarter 2015 Earnings Conference Call. Our earnings released pre-market this morning and the release is available on our website at avistacorp.com. Joining me this morning are Avista Corp Chairman of the Board, President and CEO, Scott Morris; Senior Vice President and CFO, Mark Thies; Senior Vice President and the President of Avista Utilities, Dennis Vermillion; Vice President of State and Federal Regulation, Kelly Norwood; and Vice President, Controller and Principal Accounting Officer, Christy Burmeister-Smith. I would like to remind everyone that some of the statements that will be made today are forward-looking statements that involve assumptions, risks and uncertainties which are subject to change. For reference to the various factors which could cause actual results to differ materially from those discussed in today’s call, please refer to our Form 10-K for 2014, which is available on our website. Also we’re planning to file our first quarter 2015 10-Q later today. To begin this presentation, I would like to recap the financial results presented in today’s press release. Our consolidated earnings for the first quarter of 2015 were $0.74 per diluted share compared to $0.81 for the first quarter of 2014. Now I’ll turn the discussion over to Scott.
Scott Morris: Well, thank you Jason and good morning. Earnings for the first quarter of 2015 were below our expectations due to weather that was significantly warmer than normal. However, the impact was somewhat mitigated through the decoupling mechanism in Washington. Excluding the impacts of weather, we had a solid first quarter, and I’m pleased how well our utilities have performed operationally. We continue to make significant capital investments to preserve and enhance service reliability for our customers. In addition we are maintaining our focus on effectively managing our operating costs and I believe we’re well position to sustain our long-term earnings growth. Since acquiring Alaska Electric Light and Power Company last summer, we’ve spent some time getting to know our service territory in Alaska, participating in economic development conferences and having conversations with key community leaders. The Juneau utility is well respected in Southeast Alaska, and we’re pleased with the warm welcome we’ve received. And our Alaska operations met our expectations in the first quarter. On Monday we filed a partial settlement agreement in our electric and natural gas general rate cases with the Washington commission. The partial settlement includes agreement among the parties on the cost of capital. Net power supply cost and rate design among the customer classes and Mark will provide further details of this settlement later on the call and of course Kelly is here to answer any questions. On April 16, we had new rates going to affect in Oregon which are designed to increase annual natural gas revenues by $5 million with the Oregon commission. We requested an overall increase in natural gas rates at 8% designed to increase annual gas revenues by $8.6 million. We’re also planning to file electric and natural gas general rate cases in Idaho before the end of the second quarter. And lastly, we are confirming our 2015 earnings guidance with the consolidated range of $1.86 to $2.06 per diluted share. So at this time I’m going to turn over the call to Mark who is all decked out in his Chicago Blackhawk gear this morning. I think he might be having a - had bit of rational exuberance as we’re still earlier in the playoffs and Mark is already wearing his full Blackhawks gear. Take it away, Mark.
Mark Thies: Go Hawks, it was an exciting win last night over the wild. For the first quarter Avista Utilities contributed $0.71 per share a decrease from $0.80 in last year and that’s largely due to significantly warmer weather and lower heating loads. By contrast of the first quarter of 2014 was colder than normal, the decreases in loads work [ph] temperature as Scott mentioned by decoupling mechanism in Washington which was implemented on January 1. For the first quarter we recognized a pre-tax benefit of $5.7 million under the Energy Recovery Mechanism in Washington compared to $1.3 million for the first quarter of 2014. For the full year we still expect to be in the benefit position under the ERM within the 90% customers 10% company sharing band. We continue to be committed as Scott mentioned to update and in maintaining our utility systems. We expect Avista Utilities capital expenditures to be about $375 million in 2015 and $350 million in each of 2016 and 2017. We expect to spend approximately $15 million in each of 2015, 2016 and 2017 related to capital expenditures at AEL&P or Alaska operations. A significant portion of these capital expenditures are for the construction of an additional backup generation plan. As Scott mentioned earlier we file the partial settlement in our Washington electric and natural gas general rate cases the partial settlement agreement is based on a 48.5% equity layer and a 9.5% return on equity and that reduces our electric revenues request we also reduced our [indiscernible] revenue from $33.2 million to $17 million. And our original natural gas revenue increase was from $12 million to $11.3 million a slight decrease the revised revenue amounts reflect changes in the company’s power supply model updated lower contract cost associated with out recently signed power purchase agreement and agreed upon additional reduction to power supply cost. The majority of the decrease in power supply cost has no impact on the company’s overall gross margin. The remaining issues to be resolved in the case include among other things our capital investments and infrastructure improvements as well as recovery of utility operating cost. Now I’ll talk about out liquidity and financing plans. Avista Corp has a $400 million committed line of credit with various financial institutions that expires in April 2019. As of March 31, 2015 we were - there were $65 million of cash borrowings and $35.6 million of letter of credits outstanding leaving almost $300 million of available liquidity. AEL&P has a committed line of credit in the amount of $25 million that expires in November 2019 and has no borrowings outstanding under that agreement as of March 31st. You may recall, that we initiated a stock repurchase program beginning on January 2nd, which expired on March 31, 2015 for the repurchase of up to 800,000 shares of our common stock. We repurchased 89,400 shares at a total cost of $2.9 million and an average cost of $32.66 per share. For 2015, we expect to issue up to a $125 million of long-term debt in order to obtain the appropriate capital structure and to fund our planned capital investments. As Scott mentioned earlier, we are confirming our 2015 guidance for consolidated earnings be in the range of $1.86 to $2.06 per diluted share. Due to the significantly warmer than normal weather and reduced heating loads in the first quarter, we expect a reduction to annual consolidated earnings of approximately $0.08 per diluted share, including the impacts of decoupling in Washington. We expect this to be partially offset by a benefit under the ERM of approximately $0.06 to $0.07 per diluted share. And in addition, because we did not reach the targeted level of repurchases for our stock repurchase programs, we expect earnings dilution to be approximately $0.03 per diluted share in 2015 and this is consistent with what we reported to you in our February call. We expect Avista Utilities to contribute in a range of $1.81 to $1.95 per diluted share for 2015. In 2015, we expect a growth in operating expenses of approximately 3% and as Scott mentioned, we will continue to work to manage those operating costs. Also due to the normal - warmer than normal first quarter, we expect a reduction in our utility earnings of a similar $0.08 per diluted share. Our range for Avista Utilities encompasses expected variability in power supply costs and the application of the ERM to that power supply cost variability. The midpoint of our guidance does not include anything related to the ERM. And as I mentioned earlier, we expect to be in a benefit position within the 90% customer, 10% company sharing band. And that results in $0.06 to $0.07 as I mentioned earlier. So our outlook for Avista Utilities, among other variables assumes normal precipitation and temperatures for the remainder of the year and includes the impact of the expected or the expected impact from decoupling. We are also expecting normal or below normal hydroelectric generation for May through August and normal hydroelectric generation for the remainder of the year. Due to the strong generation through April, we are expecting above normal hydroelectric generation for the full year. We estimate that our 2015 Avista Utilities earnings guidance range encompasses a return on equity range from approximately 8.4% to 9.0%. Now move onto AEL&P, we expect AEL&P to contribute in the range of $0.08 to $0.12 per diluted share and our outlook for AEL&P assumes, among other variables, normal precipitation, temperatures and hydroelectric generation for the remainder of the year. We expect our other businesses to be between a loss of $0.03 and a loss of $0.01 per diluted share, which includes the costs associated with exploring our strategic opportunities. Our guidance generally includes only normal operating conditions and it does not include unusual items such as settlement transactions, impairments or acquisitions and dispositions until the effects of such activities are known. I will now turn the call back to Jason.
Jason Lang: Thank you, Mark. Polleck we would now like to open the call up for questions please.
Operator: Thank you. [Operator Instructions] And our first question comes from Michael Weinstein from UBS. Please go ahead.
Scott Morris: Mike?
Michael Weinstein: Good morning. Sorry. So I was wondering, could you describe the impact of the two settlements the one in Oregon and the other one the partial settlement in Washington on regulatory lag, I understand the authorized ROEs that you’ve negotiated. I’m just wondering if regulatory lag is gives an improvement from the two settlement?
Kelly Norwood: Yeah, this is Kelly, with regard to Oregon the rates went until that April 16 of this year that will improve the lag in Oregon a little bit, Oregon tends to cut us of on capital during the period just before the time rates into effect and so we still expect to see some lag in Oregon going forward, which is part of why we turn around and file May 1, just last week. And then with regard to Washington, if you look at our results there, we are actually in pretty good shape, the commission have move towards allowing us to use an attrition type adjustment, which allows us to reflect in rates of the future cost. So with this settlement, the partial settlement that we have we’ve addressed the cost to capital rose power supply issues, which also allows us to update our power supply cost just before rates go into effect and then lastly we settled rates square [ph] and rate design among the customer classes.
Michael Weinstein: Okay, and I’m taking at the - there will be no more stock buyback this year now that you are showing debt, right. What kind of equity ratio do you expect to have at the end of the year?
Mark Thies: We expect to have a prudent capital structure as we always have, we haven’t set out a targeted equity ratio, we try to manage our equity ratio to be at or around our authorized equity in each of our jurisdiction so that’s generally we have different in each jurisdiction and we consolidate and that’s how we have our prudent capital structure we will target that again.
Michael Weinstein: Okay, alright thank you very much.
Mark Thies: Thanks Mike.
Operator: [Operator Instructions] And we are showing no further questions, I will now turn the call over to Jason Lang for closing comments.
Jason Lang: I would like to thank everyone for joining us today, we certainly appreciate your interest in our company. Have a great day.